Operator: Good day and thank you for standing by. Welcome to the Hyliion Holdings third quarter 2021 Earnings Conference call. At this time, all participants are in a listen-only mode. After the speakers presentation, there will be a question-and-answer session. [Operator Instruction]. Please be advised that today's conference is being recorded. If you require any further assistance, [Operator Instructions]. I would now like to hand the conference over to your speaker, Louis Baltimore. Please go ahead.
Louis Baltimore: Thank you. And good morning, everyone. Welcome to the Hyliion Holdings Third Quarter 2021 Earnings Conference Call. With us today, we have Thomas Healy, our Chief Executive Officer; and Sherri Baker, our Chief Financial Officer. During today's call, we will make certain forward-looking statements regarding our future business expectations, which involve risks and uncertainties. Forward-looking statements are predictions, projections, and other statements about future events that are based on current expectations and assumptions, and as a result, are subject to risk and uncertainties. Many factors could cause actual future events to differ materially from the forward-looking statements on this call. For more information about factors that may cause actual results to materially differ from forward-looking statements, please refer to the press release we issued yesterday after the market close, as well as our filings with the Securities and Exchange Commission. Forward-looking statements speak only as of the date they are made. You are cautioned not to put undue reliance on forward-looking statements. We undertake no duty to update this information unless required by law. Before turning the call over to our CEO, Thomas Healy, we'd like to share with you a short video about Hyliion and some of the great progress we have been making. Over the past few months we've seen significant progress in the development of both our hybrid and Hyper truck ERX solutions, as we continue to work towards our product milestones. The improved version of our hybrid solution, the hybrid ERX, came to market with system improvements aimed at increasing efficiency and payload and enhancing the overall driver experience. We recently delivered our first hybrid ERX unit to the market, marking a major milestone for our Company. Continuous progress is also being made on the Hyper truck ERX. From giving the Secretary of Energy a ride in the truck, to debuting the first showcase unit at the ACT Expo, where we seeing by thousands who are invested in clean energy technology. But before taking the show on the road, we did an All-Employee Appreciation Day, where everyone at our headquarters here in Austin, Texas was able to experience their hard work first-hand and go for rides in the ERX. The excitement and the experience was unforgettable. And now it's off to start our Hyper truck roadshow, where the valuable feedback we received from our fleet council members will not only help us continue along our path to commercialization, but towards our goal of changing the world.
Thomas Healy: Good morning, everyone and welcome to Hyliion's Third Quarter 2021 Earnings Call. I hope you enjoyed that short video. During the third quarter, we continued to make important progress to advance our mission of bringing electrified Powertrain solutions to the commercial vehicle space. Throughout today's call, I will highlight some of the major milestones and accomplishments that the team achieved in Q3, as well as some of the challenges and hurdles we faced, including around supply chain. Before we begin, I'd like to highlight 2 very impressive achievements. First, we recently unveiled our new iteration of the Hyper truck ERX and have begun showcasing the product with customers on the road. And secondly, we launched the hybrid EX product. In today's call, I'm also going to share a little about a special customer event that we have happening today at Wegmans headquarters with our Hyper truck ERX. Looking back on the past year, it was one of the most transformative years for the Hyliion team as we unveiled and launched multiple product iterations and we've had significant growth in our exceptionally talented team. We laid out an updated commercialization plan for our hybrid Powertrain back in February of this year and since then, we have been executing on that roadmap as we outlined. The end results is our improved hybrid ERX Powertrain product that was unveiled at the [Indiscernible] expo in Long Beach, California at the end of August. We also shared on our last earnings call that we expected to begin recognizing revenue once we began to ship this latest version of our hybrid solution, and I am very proud to announce that we delivered our first Hybrid Ex unit in October, which we expect will start our recognition of revenue before the end of the year. In the video that we just watched, you'll see that we captured Hyliion turning over the keys to Werner, one of the leading fleets in the industry, who operate thousands of trucks across the country, marking a very critical milestone for our Company. On the Hyper truck ERX, our flagship product, which is in the product development phase. We put together the Hyper truck innovation counsel, a collaborative group of 11 future focus fleets and technology leaders to work with us to assist in bringing the product to market. We are working closely with Peterbilt to utilize their vehicles for the launch of our Powertrain solution and collaborating with them to establish the best chassis specifications that are ideal for the Hyper truck ERX Powertrain. This all culminated in highly on unveiling a Hyper truck ERX unit at the Act-Expo, which was the first time that we publicly showcased this vehicle. The feedback we received from fleets, suppliers, and the investor community, was incredibly positive and generated a significant amount of interest in the product. This then brings us to today. Since the unveiling, we have been planning our customer showcase events to let fleets experience the vehicle in its current configuration firsthand. I'm very excited to share that we are kicking this journey off today in Rochester, New York at Wegmans headquarters, where we will have many of their drivers and executives getting in the truck for the first time to experience it. Stay tuned for media, pictures, and videos that we'll be sharing. Wegmans is both a current Hybrid customer and a Hyper truck innovation council member, and is a Company that exemplifies the mission of moving to more sustainable transportation methods. Later this year, we plan to host more fleet council events at our Austin, Texas headquarters to allow innovation council members and others to experience the Hyper truck firsthand. Now, I'd like to take a few minutes to go into greater detail on the Hyper truck ERX. I'm pleased to start off by sharing that we have security 40 unit reservation for the Hyper truck ERX year-end from Mone Transport. Mone is a Texas-based carrier Company that has been an early adopter of the Hyliion Hybrid solution, as some of you may remember. Mone Transport believes that future of trucking is sustainable But in a part of their business model, their trucks need to travel hundreds of miles every day, which is where the Hyper truck ERX can operate low cost, low emission, and long range electric solution. The purchase and sale of the 40 Hyper truck ERX unit are subject to the execution of a final agreement between Hyliion and Monet transport. We are thrilled to be continuing and expanding our relationship with the Monet team. I'd also like to share some exciting updates around successes that we have had from early ride-and-drive events with the Hyper truck ERX. Over the past few weeks, we executed on a select number of RYDEN drives, 1 of which was with Green path logistics, a current highly on Hyper truck innovation council member. Green path has a very unique business model in the trucking industry where they operate 100% alternative fuel vehicles. They've leveraged this unique value proposition and are shipping for some of the major players in this space, including Amazon, UPS, and the U.S. Postal Service, to name a few. Green path CEO [Indiscernible], went for a ride in the truck and had fantastic things to say about his experience. I'd like to share a quote from him. Fury said, "after driving the vehicle at Hyliion's headquarters and going for a ride on the highway, I immediately knew this vehicle would change the landscape of trucking as we know it. The vehicle was smooth quiet and drove like a passenger car as opposed to the way we know semi trucks today. " After experiencing the vehicle, Green path logistics requested to be a leading participant of initial deployments of controlled fleet trials in their operations. With Green path located in Dallas, Texas, it will allow Hyliion's team to closely monitor these trucks to ensure strong vehicle performance as fleet trials begin. The feedback from their drivers, technicians, and management team, as well as the learnings we garner in these early trials will be invaluable as we continue down the path to production. Over the past few quarters, we have had numerous meetings with our Hyper truck innovation council members and others to truly garner their feedback as we are engineering this product. These discussions have already proven to be very valuable as some of their feedback has educated us to alter some of our product specifications. One great example of this is the announcement that we made a few months ago around having a longer-range BEV version of the product that can achieve 75 miles of full electric drive before the range extender needs to turn on. This now allows a vehicle to qualify for zero-emission vehicle credits. As we move forward through the development process, we will continue to make additional alterations to the product specs. This can include features being added to best meet the needs of our fleets, and modifications to work within the bounds of our current supply chain base to achieve a safe and reliable product launch. Post-production, we will continue to iterate the product with further enhancements to ensure that we maintain a best-in-class solution. While we recently achieved a critical milestone of beginning customer-showcased events by year-end, we have faced challenges within our supply chain that are impacting our development, testing, and validation plans. Similar to others in the automotive industry, shortages of semiconductors as well as several other key components are extending our timelines longer than we expected. In addition to supply, we have extended our development program to provide for adequate time to design, test, and validate the system to ensure reliable launch of the product. This issue of supply shortages and long lead times has been especially prominent in the trucking industry and one of the impacts has been significantly extended lead times for ordering new trucks. If a truck is ordered during OEM today, the currently planned delivery date is not until 2023. These types of supply delays have a direct impact on our timing. As 1 example of how the supply chain hurdles have impacted us, we planned on beginning winter testing of our production intent designed ERX in Q1 of 2022, leveraging the last few months of winter. Unfortunately, the delayed delivery of components prohibits us from being able to start our previously planned winter testing. Thus, pushing out the start of testing to the beginning months of the following winter. In order to best mitigate these issues going forward, we currently have on order all of the development trucks and long lead time components that we need for 2022 and our working to secure supply for the 2023 calendar year. Despite supply shortages and delays extending our development schedule, we will not sacrifice on bringing your reliable system to market. As we learned with our hybrid product, it is critical to test the product through all seasons, especially given the extreme winter conditions many of our potential fleet customers face on a day-to-day basis. With that said, we want to share today a 12 month breakdown of what is ahead for the ERX development, as well as other critical milestones that follow. From the many discussions we've had with our supply base, we're confident that this 12 month-look-forward will be achievable. will be achievable. First, our initial demonstration units, one of which is at Wegmans today, will be used to showcase our products in ride-along events with fleet council members and other interested parties beginning now through the first half of 2022. Our next set of vehicles, which we will start building in early 2022, will serve two primary purposes. First, we'll use the majority of these vehicles for design verification and rigorous over-the-road product testing, inclusive of summer and winter testing. We'll also use a number of these vehicles for a controlled deployment into fleet operations in the second half of 2022, as we highlighted earlier with Green Path Logistics. These vehicles will still be owned by Hyliion, but will allow us to garner real-world feedback from fleets. Our target is to achieve up to 1 million miles of testing and validation on ERX trucks prior to the start of production. After 2022, we will still have a few important milestones remaining prior to the start of production. The first is that we will take any of the learnings from the testing and validation or on-road miles and incorporate them into one further design iteration of the product. Next, we will obtain final certification needed from CARB, the EPA, and NHTSA. While completing these, we will continue to deploy trials and low volumes of units into fleet operations as we gear up for the start of production and the beginning to recognize revenue on these systems. As we get more clarity on the status of our supply base and we get closer to these milestones, we will provide greater clarity on anticipated timing. Turning now to our Hybrid Ex Powertrain solution. As mentioned before, we have begun shipping our Hybrid Ex system. Although the product is launched, we are still facing supply shortages and we are seeing this impact on a daily basis. We currently have trucks at our headquarters, which has incomplete systems installed on them because we are awaiting some components. We've also experienced some fleets who have placed orders with us are not able to obtain their new trucks from the OEMS due to long lead times and this too has pushed our installed timing for some of these trucks out until next year. As we head into 2022, we plan on providing details on our next earnings call as to our Hybrid product expectations for the following 12 months. In light of recent changes within the competitive landscape, we are assessing the potential demand impact for our Hybrid ERX product offerings. As some of you may be aware, Cummins recently announced a new natural gas engine for trucks which will improve the power deficit that was typically experienced with previous natural gas engines. This will directly compete with our power assist functionality of the Hybrid Ex solution. As we've been meeting with more and more potential customers, we've heard 2 consistent messages around a strong interest towards the ERX. 1. Fleets like how the success of the ERX is not based on terrain, whereas the Hybrid product only delivers the best benefits to fleets in specific terrain conditions. 2. We increasingly see fleets gravitate towards the Hyper truck ERX solution as it offers the benefits of being a fully electric drive truck. Especially with all of the climate change initiatives, and the current political environment towards full electric vehicles. However, some fleet still see the Hybrid as a great way to start their electrification journey. As Hyliion works to deliver its products to market and navigate the supply chain challenges in today's world, we have been adding experienced talent to all levels of our organization. During the third quarter, we welcomed a total of 49 new employees to the Hyliion team. Last month, we announced that we hired Shiva Duraiswamy as our Vice President of Engineering. Shiva brings nearly 20 years of diverse global experience at companies like General Electric, Daimler Trucks, and Cummins. He has a track record of successfully leading large technology-focused teams in product development, life cycle, and project management. Here at Hyliion, he will oversee our engineering teams focused across the development spectrum from Powertrain and battery innovation, to controls and software systems implementation. With shippers primarily focused on commercialization, this frees up Patrick Sexton, our Chief Technology Officer, to continue to develop Hyliion's forward-looking product strategies. In Addition, we have recently added Joshua Robbins as our Vice President of Fleet sales to further accelerate our commercialization efforts. Joshua comes to us with nearly 10 years of sales experience at RYDEN, where he was a key contributor to their natural gas initiative. Joshua will spearhead our fleet engagements and discussions, as we are now moving the Hybrid product into commercialization, and we are embarking on the Hyper truck ERX roadshow to garner interest and commitments from fleet. In addition to all these talented new employees we have added over the past year, we also recently added 2 impressive and accomplished individuals to our Board of Directors: Former U.S. Secretary of Transportation and Secretary of Labor, Elaine Chao, brings us her extensive knowledge of transportation and infrastructure. And after a career spanning nearly four decades in the ever-evolving automotive industry, and most recently as the CTO of Delphi Technologies, Mary Gustanski brings the experience in development and commercialization of innovative solutions. I want to give these two, along with all the new members of the Hyliion family, a warm welcome. We often receive questions from the financial community surrounding what we call the customer journey. I'd like to take a moment to share with you the feedback that we've received from fleets and the discussions we've had surrounding the purchase decision process. We believe the most effective way to generate interest in and orders of our product is to show it to fleet and ultimately, let them experience the benefit themselves. We did this with our Hybrid product, getting dozens of these vehicles on the road in pre -revenue stage and logging millions of miles. With the Hyper truck ERX we hear similar feedback, as most fleets want the chance to experience the positive features of the Powertrain before committing to a binding order of any real significance. Most fleets will choose to test with single units running through multiple applications and terrains to better understand how our solutions will work within their fleets. With all these factors in mind, we believe the product roadshow we are doing right now, providing fleets with in-depth demonstrations of our powertrain, is a critically important initial step on this customer journey. We expect demand and product orders to increase as we get more fleets additional hands-on exposure to our powertrains. As potential fleet customers evaluate all of the various trucking decarbonization options in development now, it is our goal to provide a powertrain that will grow and evolve as infrastructure and fueling solutions become more readily available. As a reminder, while our initial focus for the Hyper truck ERX is powered through natural gas, we have laid out a path towards both a fuel agnostic solution as well as a path towards a hydrogen fuel cell solution. With this product road map, we believe this allows fleets to expand their electrification adoption as the infrastructure is being built over time. However, it remains our goal to get our products on the road as quickly and safely as possible to begin this customer journey and adoption life cycle. With that, I'd like to turn it over to Sherri to discuss some updates on the financial side along with an update on our headquarters expansion project.
Sherri Baker: Thank you, Thomas. And good morning, everyone. Let's start with our results for the third quarter of 2021. Our team continues to invest in R&D as we execute against our product development road map. R&D spending was $18.2 million, an increase of $4.8 million sequentially, and $15.2 million year-over-year SG&A spending was centered around the continued build-out of necessary infrastructure to advance our commercialization initiatives, operational capabilities, and the addition of talent to accomplish these goals. For the quarter, SG&A spend was $8.7 million, a decrease of $1.4 million sequentially, and an increase of $6.5 million year-over-year. This sequential decrease is driven by a reduction in incentive compensation expense, partially offset by the increase in our employee base. Overall, Hyliion reported a net loss of $26.6 million compared to a net loss of $23.2 million in Q2 and a net loss of $9.1 million from a year ago. We now expect our total operating expenses for 2021 to be approximately $110 to $120 million as compared to the $130 to $140 million guidance we provided on our second quarter conference call back in August. The reduction is driven primarily by the timing delay of truck purchases highlighted earlier in the call and a reduction of people-related expense. Turning to our capital structure and Balance Sheet, we ended the third quarter 2021 with over $588 million available to fund our current commercialization plans. This is divided into $289.5 million in cash and cash equivalents on our Balance Sheet. Short-term investments of $144.5 million and long-term investments of $155 million. Our short-term and long-term investments are high-quality credit instruments with no maturities beyond 36 months and a weighted average maturity of 14 months across our portfolio. We expect to begin generating revenue on the Hybrid Ex units we will deliver in the fourth quarter but as previously mentioned, do not expect the results to be material for the fiscal year. With respect to the previously announced expansion of our headquarters, we are underway with the facility remodel. We decided to eliminate the previously planned terrace in our 120,000 square foot facility and instead, we plan to rent an additional 25,000 square feet for our testing and validation labs in a building adjacent to our headquarters. This allows us to better accomplish our goals of expanding our install capacity and battery production capability, all while supporting our growing employee base. Lastly, as we move forward into 2022, we expect to begin providing updates on both the key commercialization milestones and timelines we laid out earlier on the call, as well as our expectations around spend and capital allocation for the fiscal year. We look forward to sharing our plans with you on our next call in February. This now concludes our prepared remarks. And now I would like to turn the call back over to the Operator to open the line up for questions.
Operator: [Operator Instruction]. Please limit yourself to 1 question and 1 follow-up question. Your first question is from the line of Andreas Shepherd with Cantor Fitzgerald.
Andreas Shepherd: Hi. Good morning. Can you guys hear me?
Thomas Healy: Yes. Good morning, Andreas.
Andreas Shepherd: Hi, good morning. Congrats on the quarter. Just a couple of questions from me. First, I know this one's a bit tricky but do you have any visibility to when the supply chain disruptions might improve?
Thomas Healy: Yes, that's a great question. I think you saw its highlight that throughout today's call is there's a lot of uncertainties and supply base. If you order a new truck right now, it's not going to be out till 2023. We're working, frankly, on a daily basis with our suppliers. Working on ensuring that we have the supply we need to get through the validation processes we laid out and we are hopeful that we're going to start to see improvements here. But what we did today, is we've laid out a 12-month timeline that even with the supply hurdles that we're seeing right now, we're confident that we can achieve those because we've already got those components on order and we're working with those suppliers. So fingers crossed, we are going to see improvements, but that's why we've limited to a 12-month view right now.
Andreas Shepherd: Awesome. That's very helpful. I appreciate it and maybe lastly, just regarding the 40-unit new reservation that you mentioned here, I'm just trying to better understand that. It looks like it's still subject to a final agreement and so I guess my question is, do you -- any idea when that might be and also when we could see that translate into revenues.
Thomas Healy: Yes. I would equate this to very similar to the [Indiscernible] reservation that they placed for 300 units not too long ago, where these fleets really want to go and they can actually be able to experience the truck before they move into firm binding commitment. So that's why it's structured as a reservation. Now with that said, today marks a pretty important day in that journey because it's the kickoff of our roadshow, where over the weeks and months ahead, our goal is to really have fleet to be able to experience the Hyper truck. We've got a truck up in Rochester, New York right now with Wegmans kicking that journey off. And we see it as -- the feedback from fleets is they want to get in the truck and see how it performs, see the benefits that they're going to be able to receive from it before they move into binding commitments. And so that's why we've structured as a reservation.
Andreas Shepherd: Got it. That's very helpful. Thanks very much.
Operator: Your next question is from the line of Brian Johnson with Barclays.
Brian Johnson: Hello. Can you just clarify what you said about the Hybrid Ex? Yes you are getting some early sales, but you kind of hinted that, and look, it's not a big change in the bases. We knew the Hyper truck was the long-term future, but could you maybe clarify what you are seeing there, and if it is because of a new Cummins engine, why doesn't that detract from the attractiveness of the Hyper truck as well?
Thomas Healy: Yeah. Great question. Two parts, first, I'll cover the Hybrid and then Hyper truck afterwards. With the Hybrid, we see it as the -- there have been some announcements recently that just changed the landscape, right? Cummins came out with their announcement, as well as we've been having more and more meetings with fleets both talking about Hybrid in the ERX product. So with the Cummins announcement, the new engine that they're coming out with, it's a natural gas engine that will overcome some of the power deficit that's normally experienced with natural gas. Now, that's still a big question mark as to the details around the engine. It's an early announcement, it hasn't been released yet in the market, so that's why we wanted to express on today's call that we're going to step back and just look at how might that impact our volume ramp up of the Hybrid product. And then the second part of that is, as we've been having meetings with fleets, we've seen an overwhelmingly positive response towards specifically the ERX, and fleets really liking the fact that it's not terrain dependent, unlike the Hybrid product. And it moves them into a full-battery electric vehicle, or BEV, within a range extender onboard. So from that standpoint, we're also having discussions with fleets right now to really gauge their adoption plans and the road-map for them. Then the second part of your question of does this affect the Hyper truck. I don't believe it does. And the real reason for that is because the Hyper truck is an electric vehicle versus the new Cummins engine is still going to be a conventional internal combustion engine-driven vehicle. And the benefits the Hyper truck has is full electric modes so that there's 0 tailpipe emissions to go into ports and cities, as well as the other fact that it allows us to qualify for ZEZ -- I'm sorry, ZEV credits, which a normal natural gas truck would not be able to.
Brian Johnson: Okay. And so it's -- just maybe why does then a Cummins RNG truck of engine, obviously, we've seen nat gas engine effect the Hybrid.
Thomas Healy: Sure. One of the value propositions of hybrid is being able to take that product and put it on a conventional natural gas truck and it adds extra horsepower to the vehicle, and then it was basically taking a natural gas truck and making it perform more like a diesel truck does. With the announcement of Cummins doing a larger natural gas engine, their goal behind that was to offset that deficit of power between a diesel and a conventional natural gas truck, which is one of the value propositions we were going after with our hybrid. Now, the reason we haven't added more specificity to it is because it is still just an early announcement. Fleets are assessing it, they're looking at, the details around it are still very unknown, but we wanted to address it because we know it is a new product that's going to be coming to market at some point.
Brian Johnson: Okay. And then a final question, which is coming a lot up for the SPAC class of 2020-2021, it looks like your cash balance and the burn rate set you into '23, if not beyond. Could you share maybe comment on how are you thinking about that?
Sherri Baker: Absolutely. So just to reiterate, as we were talking earlier on the call. So our total liquidity is sitting really close to $600 million, which is a very, very strong position to be sitting on. So we are currently very confident in our ability and our cash position to hit our milestones that we outlined today. And right now we're actually doing our 2022 budget build. So once we come back on our call in February, I'll be able to give you a little bit better insight into the exactly what that burn rate is going to look like for '22 as well as what we expect our volume ramp to look like on the Hybrid product.
Brian Johnson: Okay, thanks.
Operator: The next question is from the line of Bill Peterson, with JP Morgan.
Bill Peterson: Yes. Hi, good morning, and thanks for taking the questions. I guess with all the supply constraints, which you're not alone, everybody has been talking about it. It seems like an initial window to, maybe, make a beachhead here in 2022 is gone. I guess when we look to 2023, what do you think your key differentiators will be relative to other fleets? I mean other -- I mean other competitors -- I mean certainly some of the larger guys seem to be maybe further along the supply chain issues. Maybe they'll be through it in the first-half or early second-half where obviously you're saying you can't get trucks till 2023. There's many of the new interests as well that are also trying to address flow and 0 carbon. So I guess if we think in the 2023, 2024 time frame, what would be some key reasons fleets would want to go with Hyliion? What is your -- the cost of ownership advantages, other advantages versus some of the other competitors out there?
Thomas Healy: Yeah, great question. And one thing I just want to clarify first is, we were expressing on the call that if you just go and place a new truck order, it wouldn't get delivered until 2023 right now. We've already had trucks on order for a little while now, and we've already got the build slots that we need for 2022 locked in. We saw this coming to some degree but at the same point the supply efforts are -- the supply chain is still even delaying some of those build slots. But with all that being said, going into your question or the latter part of it around what's the competitive advantage and also, how do we get a jump start on this so that we're ahead of some of the others in the space. I think the first thing is going to be infrastructure. Some of the competitors out there, whether you're doing a hydrogen fuel cell truck or you're doing a BEV truck, you not only need to design and develop and start production of the vehicle, but then you need to go out and build the infrastructure for those fleets that want to be able to adopt it. That's a problem that Hyliion doesn't face, right? The natural gas infrastructure's already out there. So as soon as the vehicle moves into production, we already have stations. There's 7 -- over 700 public stations in North America for natural gas that fleets can just tap right into and start utilizing. And then the other big parts of the value proposition is obviously the low cost of ownership using a very low fuel compared to even the cost of electricity and especially compared to the cost of hydrogen. And then the other thing to know is just the range of the vehicle. This is something that we hear from fleets consistently as BEV vehicles are limited to short ranges and if you want to address the trucking challenge, your truck needs to be able to travel hundreds of miles a day, sometimes 500 miles or 600 miles in the day. And with the Hyper truck, the fleets will be able to experience over 1,000 miles of range per refuel, which we see as a huge competitive advantage for us.
Bill Peterson: Okay, fair enough. I was going to say that natural gas pricing in those, well, that's going to look like in a year. That could be maybe [Indiscernible] on your side. But point taken. I guess, obviously we have some new policy within the infrastructure bill and sort of some cases favors hydrogen and electric. But I think in Europe, you actually have several countries with favorable policy support. Realizing that your hand is full with U.S. customers. I think you've talked about maybe the potential in the past for Europe. What is your latest thoughts there? Is this something that's going to wait and tell beyond 2023?
Thomas Healy: Interesting Europe is there. There is obviously a very strong push towards moving to cleaner fuel solutions in Europe, like there is in the U.S., but I would argue it's potentially even stronger over in Europe. And the fleets interest in adopting it is very heavy on the European side, but one of the things that we're staying very focused on and we don't want to sway from is we need to launch this product in the U.S. first, that's our backyard. It's a market that we know in-depth, and really well, and we already have all those fleet relations built out that we need to get started. And then once we have that in place, then we would look to expand overseas and it's definitely something that we're excited about. We just want to make sure that we go execute properly and efficiently and address the U.S. market first and then look to an overseas market. And one thing, just because you brought up an interesting point about natural gas pricing, We're still seeing fleets are getting really positive pricing with natural gas across the U.S. and they are even able to lock in multiyear contracts with the fuel provider for fuel pricing. And I was just on a call recently where we were talking about how fuel pricing in certain parts of the country can be less than or equal to a dollar per gallon equivalent for the fuel. So that is far stronger than where diesel is today and even stronger than where hydrogen is.
Bill Peterson: Thanks for that additional color. That's pretty interesting. Thank you.
Operator: [Operator Instructions]. Your next question is from the line of Mark Delaney with Goldman Sachs.
Mark Delaney: Good morning, and thanks for taking the questions. First on the ERX. Just curious if you could share a little bit more insights on what you're hearing from the fleets around how they are weighing some of the various alternatives, and with a longer-range variant, with a larger battery? You talked about that opening up some additional credits. I'm curious what that may mean for some of the payload benefits that the Company has talked about, weighing less than traditional BEVs. I mean are there still payload gains and are some customers considering shorter-range variants and maybe still having some more payload benefits?
Thomas Healy: Yeah, great point. So just to remind anyone of -- a few months ago we announced that we would have a 75-mile electric range version of the Hyper truck. So that version would be able to qualify for 75% of a ZEV credit which we see as a huge win, right? Because now, you're going after the same exact credits that a battery electric trucks or fuel cell trucks are going after. In terms of your question though, of how does that work from a fleet standpoint, our plan is to have multiple sizes of the battery pack so that if a fleet doesn't need that longer ZEV range, and it doesn't need those credits, then they can go with a smaller pack, experience a smaller, lighter battery solution and less expensive battery solution versus if the fleet does want to go after those ZEV credits, we have that option as well. So we've broken it down where we think we can achieve best of both worlds there.
Mark Delaney: Okay. That's helpful. And then a follow-up on the Hybrid product, especially with some of the additional comments today. Maybe you could talk about how much incremental expense from here that may be for Hyliion to continue to offer that product. Now that you're at a point where you can recognize revenue, I imagine a lot of investment has gone into it. I'm not sure how much of the expenses, in terms of R&D and sales and things like that will be shared across the ERX and the Hybrid, maybe you can continue to do both? Or is this 1 that requires a lot of standalone investment, even from here, and maybe we need to re-calibrate our expectations around the Hybrid going forward. Thanks.
Sherri Baker: On the Hybrid with us actually putting our new version of the Hybrid into market. We have essentially encouraged the bulk of the R&D expense to get that product commercially viable, so it would be I would say minimal additional investment on the R&D side. So the bulk of what you'll see going forward on the R&D is really going to be more Hyper truck driven. All that said, we will still be in the very early stages of Hybrid shipments. So as with any natural product launch, when you are in lower volumes, you're going to see higher costs. But that is something that we are working very diligently with our supply base as we're getting into a higher ramp up from a volume perspective that we should be seeing a better pricing from a component perspective and also better improvement in the margin. So that will be something we would expect going forward.
Mark Delaney: Thank you.
Operator: The next question comes from the line of Noel Parks with Tuohy Brothers. And Mr. Parks, please make sure your line is muted.
Noel Parks: Hi, can you hear me now?
Thomas Healy: Yes, we can.
Noel Parks: Sorry about that. I was wondering, as you're interacting with customers over time, I'm just curious how mindful are the upcoming Hybrid customers of the Hyper truck being on the horizon? And I guess I'm wondering in particular, as you talk of it, and I'm sure you'll have some that they're interested in; first the Hybrid and then the Hyper truck. If somebody is then later a Hyper truck customer, are we talking about a reduced piloting period likely for their adoption of the Hyper truck? Is this a head-start that they get or are they really 2 entirely separate adoption piloting profit?
Thomas Healy: No, I think there's definitely overlap there. And just to put some examples to it, like we mentioned, we were up at Wegmans today. Wegmans was a very early adopter of Hybrid but the event that we're putting on at Wegmans today is around the Hyper truck. We mentioned Mone's reservation, I brought up Deb Mars reservation, both of them are Hybrid customers, as well as they're putting in reservations for the Hyper truck. So I see the Hybrid as a very strong way for Hyliion to be able to start building relationship with these fleets and let them actually start experiencing some of our solutions in their operations. Let them see the benefit of it, and then the Hyper truck is an additional product offering that we see that fleets are already working with us would also move into. It also goes the other way though, with Werner who we just showcased handing over the keys to them on the Hybrid solution. They started as Hyper truck innovation council member first and then it moved into well, why don't we adopt Hybrid solution into your operations? So it goes to fold. And while we're on that, I do want to just take an opportunity on the call today to just share a little of the experience thus far of some of the fleets driving the Hyper truck. I mentioned Purvis quote earlier about how it is a surreal experience going from a conventional vehicle jumping into the Hyper truck. It's quiet, it's smooth, the acceleration is powerful. I think we're going to see that drivers are going to gravitate to really wanting to be behind the wheel of our Hyper truck solution, of an electric vehicle, because it's just a game changer in terms of how the vehicle actually operates.
Noel Parks: Got it. I'm just curious on the supply chain front, obviously, an issue that's been up for the entire industry. As far as looking ahead to manufacturing capacity, when you experience some of the creep in availability of components and so forth, does it materially impact your ability to get access to third party resources, MOD centers and so forth. Is that potentially very sensitive to what's happening to you on the supply chain or is it just sort of ongoing revision process and people just basically roll with the progress as it happens?
Thomas Healy: Yes. I have not seen the impact on -- as you're referring to, like the MOD centers or suppliers or vendors working with us to assist us like we have not really run into issues on that side. What it really is just when is that component that you're -- that you need? When is it going to show up on the loading dock? To put an example to it, we experienced -- we were looking for one component and it was nearly a -- very close to a year-long lead time to get that component. Obviously, when that happened and then we had our supply team go look for what alternative solutions could we use so that we don't experience that long of a lead time. But those are some of the things that we're facing and I think frankly, everyone in this industry is facing, is the supply network is constrained right now and it's just unbelievably long lead times to get components, and that's had some direct impacts on our development timing. We gave the example today around winter testing, we were planning on getting that kicked off this winter. Unfortunately, now that's going to need to wait till next winter just because we don't have the components to go test, which is unfortunate but it's part of just the reality of where we're at with the supply chain -- the supply base right now.
Noel Parks: Fair enough. Thanks a lot.
Operator: If there are no further questions at this time, I will now turn the call back over to Thomas for closing remarks.
Thomas Healy: Well, thank you, everyone. I appreciate you joining our third quarter earnings call. Lots of exciting developments happening at Hyliion. We're thrilled that the roadshow is getting kicked off and we now actually have people experiencing the Hyper truck. And I hope everyone has a wonderful rest of the year and we'll talk again on our next earnings call.
Operator: That concludes today's conference call. You may now disconnect.